Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Yamana Gold First Quarter Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the presentation, we will conduct a question-and-answer session. Instructions will be provided at this time that time. This conference call will contain forward-looking statements that involve a number of risks and uncertainties concerning the business, operations and financial performance and conditions of Yamana Gold. Forward-looking statements include but are not limited to statements with respect to the estimation of mineral reserves and resources, the timing and amount of estimated future production, costs of production, capital expenditures, future metal prices and the cost of timing of the development of new deposits. For a complete discussion of the risks, uncertainties and factors which may lead to our actual financial results and performance being different from the estimates contained in our forward-looking statements, please refer to our press release of yesterday announcing our first quarter results and our management discussion and analysts for the same period, as well as other regulatory filings in Canada and United States. Accordingly, you should not place undue reliance on forward-looking statements. I would like to remind everyone that this conference call is being recorded and will be available for replay today at 3 PM Eastern Time. The replay number is 416-849-0833 or toll-free at 1-800-642-1687, both with the pass code 63821038. As well, the presentation slides accompanying the conference call are available on Yamana’s website at www.yamana.com. I will now turn the conference over to Peter Marrone, Chairman and CEO. Please go ahead, sir.
Peter Marrone: Thank you. Good morning. I would like to begin with a brief overview and then pass the call over to our President and Chief Operations Officer, Ludovico Costa, who will discuss operations; Chuck Main who is our Chief Financial Officer to discuss the first quarter financial results; and Evandro Cintra, who is our Senior Vice President of Technical Services to give an update on our development stage projects. A core objective of Yamana is that we recognize the growth must be disciplined, it must be sustainable and it must be over the longer term. This theme will thread throughout our effort and underlies our principal that managed growth delivers superior value. In 2009, our objective was to create a sustainable production platform. We adhered to and will continue to adhere to our four key commitments. Our commitments are operating in stable jurisdictions, maintaining a sustainable production level at whichever level of production we are at, low cash costs and growth across all measures. We continue to adhere to our commitments and objectives in the first quarter of this year. In the first quarter, production increased 6% from the comparable quarter last year to approximately 240,000 gold equivalent ounces. We have said before that the first quarter is the weakest quarter for us and we expect production to increase sequentially throughout the year. We started at a step up from last year in the first quarter this year as compared to the first quarter last year and production is expected to follow similar trends, ramping up quarter-over-quarter. We are on track to achieve our annual production goals. Revenue in this first quarter as compared to the corresponding quarter increased 62% to $346 million. Mine operating earnings increased 99% to $130 million. Adjusted earnings increased 13% to $73 million or $0.10 per share and cash flow increased over 100% to $138 million or $0.19 per share. As production increases throughout the year, we anticipate these financial metrics to follow a similar trend. Cash flow is paramount to a gold company and certainly true for us. We have said before that our objectives and our core principles include sustainable production at low cost to ensure steady cash flow along with production and margin growth that further ensure growth in cash flow. We have demonstrated in Q1 once again the strong cash flow generation capacity of this company. I would like to highlight the performance at our flagship mines this quarter. At Chapada, we increased throughput and transitioned to a larger fleet of trucks and equipment last year. We expect operational improvements to be realized throughout this year. We are confident in achieving our production goals at Chapada. At El Peñón, we transitioned to owner mining and it went well. In Q1 we concentrated on operations and ensuring the transition went smoothly. We will now focus on cost improvements and many opportunities on cost improvements that include maintenance, schedules for trucks and equipment and costs for consumables. Production in the first quarter provides confidence to us in our production goals at El Peñón. We made efforts in the first quarter at Gualcamayo to improving waste removal to allow for more flexibility in the mine. Lower grade benches were mined in Q1 as we gained access to higher grade material. We expect grade to improve throughout the year. Last year at Gualcamayo, we experienced sequential quarter-over-quarter increases in production with Q1 production contributing to only 14% of total annual production. We anticipate similar sequential increases in production this year. We are confident in our production goals at Gualcamayo also. Our efforts at Jacobina will include cost reductions as mine production performance continues. We are confident in production plans, although are focusing on programs to reduce costs also. Jacobina is a complex of four mines, some with lower grade and costs and some with higher grades and costs. Our production this quarter was in line. Our costs should improve throughout the year. Part of creating efficiency at Jacobina is achieving a proper balance of production and costs. Minera Florida would have produced almost 29,000 gold equivalent ounces, although regrettably it was impacted by a severe earthquake in February and downtime as a result of power outages. We still produced at Minera Florida over 20,600 ounces and we remain confident in our production goals and guidance at Minera Florida as well. Minera Florida is now fully operational again. Onto cash costs. Co-product cash costs in Q1 were $423 per gold equivalent ounce, which were in line with our expected costs for this period. As production ramps up, cash costs will experience a decline throughout the year. In 2009, cash costs were $170 per gold equivalent ounce on by-product basis and although by-product cash costs are expected to be below $200 per gold equivalent ounce this year, cash costs in the first quarter are already below that level at $161 per gold equivalent ounce. We maintained a healthy margin to gold and copper price and the overperformance of copper to gold during the period along with our comparatively low cash costs for each of those metals, gold and copper, gave us a strong cash flow and cash generation this quarter. And with that, perhaps, if I can pass it to Ludovico on our operations.
Ludovico Costa: Okay, Peter. Thank you. I’ll highlight the production increases this quarter by 6% from the first quarter last year, similar to trends seen in 2009 we expect production to increase quarter-over-quarter throughout the year. Including this ramp-up, April production exceeded the average monthly production in the first quarter. We are on track to achieve our annual production guidance. If I could take the time to go through our six mines, El Peñón production was 180,000 ounces gold equivalent ounces for the quarter. We completed transition for all mine and focuses on operational efficiencies. We all now focus on cost improvements such as maintenance schedules and opportunity to reduce the cost for consumables. We expect costs to improve going forward. This quarter, we also advanced the development work at the new veins, which contributed to the strong performance at El Peñón. We remain confident in achieving annual guidance. We continue to evaluate the further optimization strategy at El Peñón to increase production from current levels. Recent plant expansions and resource contributions for the newly vein systems, Pampa Augusta Victoria will further support these objectives. At Chapada, we completed expansion to 20 million tonnes per year last year and optimization increased throughput to up to 22 million tonnes per year are currently underway. Mine operation in the first quarter as expected lower than in the second and third quarter of the year as a result of the rainy season. As the rainy season dissipates, we expect the second and third quarter to be higher -- at higher levels similar to trends in 2009. We also transitioned to the largest trucks at the end of last year. As a result, we expect efficiency and operational improvements to begin to be realized throughout the year. Production in the first quarter was approximately 28,000 ounces and we expect production [and believe] to increase quarter-over-quarter throughout the year. We believe we achieved production guidance for the year. Production at the Gualcamayo was approximately 29,000 ounces. We made an emphasis in the first quarter at Gualcamayo to improve waste removal, which permits us to access higher grade bench and allows for a better mine plan. As a result, we expect great improvement throughout the year according to the plan. This is similar to trends experienced in 2009 as production, tonnage and grades improving throughout the year. We believe we are on track at the Gualcamayo to achieve annual guidance this year. In the first quarter, production at Jacobina was 25,000 ounces. We are on track to achieve production guidance at Jacobina as well. We continue to focus on higher grade areas including Canavieiras and its production this year concentrated on the new discovery, Lagartixa, which demonstrates grades higher than the current reserve grades. Another objective at the Jacobina this year is lowering the cost throughout the year. We met, as I said, our production goals but we did not meet our cost goals. To achieve this objective of lowering costs, we needed to find a balance, the right balance between the different mines at Jacobina. For instance, Joao Belo has lower grades but lower costs per tonne while Canavieiras has higher grade but higher costs per tonne. However, we expect to reach a level within guidance range by the end of this year. Costs at Jacobina should improve significantly as we improve the equipment available and maintenance and with the right balance from the mines. In 2011, we are confident in our [latest] cost to guidance. Production at Minera Florida was a near 21,000 gold equivalent ounces and was impacted by the earthquake which occurred on February 27th. Mining operation was returned to full capacity by late March and processing reached the full capacity by the end of March. Prior to the earthquake, Minera Florida was on track to achieve the higher end of production guidance for 2010. We believe that they are still be able to achieve guidance for this year. Production at the Fazenda Brasileiro was approximately 15,000 ounces of gold. We are on track for production guidance for the year, although there will be variations quarter-over-quarter as we mine our existing reserves. Although explorations at CLX2 and Lagoa do Gato are continued, so we can increase our mine life. CLX2 is at the center to the mining areas, so there would be very easy to access.
Chuck Main: Turning to the financial results, revenue in the first quarter increased by 62% from the first quarter last year to $346 million as a result of robust metal prices and increased production. Revenues in the quarter reflect an average realized price of $1114 per gold ounce, $17.07 per silver over ounce and $3.25 per pound of copper. This has led to very strong mine operating earnings. Mine operating earnings increased 99% from last year to $130 million. Adjusted earnings increased 13% to $73 million or $0.10 per share. In addition, there was a decrease in the amount of interest cost capitalized this quarter, compared to the first quarter last year as Gualcamayo was still in the commissioning phase. It is anticipated that interest costs will decrease during the year as our construction activities pick up. Going forward, it is important to note that growth in reserves and resources will decrease our depletion, depreciation and amortization charge per ounce. This is particularly relevant to us with the strong potential that we have El Peñón, Chapada, [Agua Rica] and Gualcamayo. Cash flow from operations before changes in non-cash working capital items increased over 100% to $138 million. This was mainly due to higher revenues and the contribution of Gualcamayo as we declared commercial production in July 2009 and increased production at El Peñón. As we receive a full year of commercial production at Gualcamayo and higher production at El Peñón, we anticipate further cash flow growth in 2010. Cash flow remains a focus for Yamana as it is a better reflection on how our operations are performing. There’s also a key focus as growth plans require capital and our operating cash flow is a major source of funding for these value enhancing projects. We expect that operating cash flow will more than completely fund our growth program. Gross margin in the first quarter increased to $840 per GEO sold, representing a 67% increase from last year. The margin per gold ounce was approximately $700 and producing copper at a $2 per pound margin increased that margin by approximately $140 per ounce. We remain focused on margin expansion and cost containment this year. We remain committed to maintaining our co-product cost guidance for the year. Turning to our balance sheet, our cash position continued to strengthen, increasing to $222 million at the end of the quarter, compared to $170 million at the end of the year. Our credit facility availability reflects the increase in December to $680 million. Our net debt is now below $300 million and we have $659 million of total cash and undrawn credit available. As we continue to focus on margin expansion and production growth, we anticipate cash flow to remain robust. We are fully funded for our growth initiatives going forward.
Evandro Cintra: Okay. Moving to the development stage products, so building on the success of our producing mines, we have a substantial well defined immediate development stage of products, which are expected to bring up the production to approximately 1.5 million gold equivalent ounce. So this process has been advanced this quarter. We completed the basic engineering and advanced mine development at Mercedes. We have also purchased the key lead items, lead time items and we have all the permits required for construction. So we expect to start the construction this month. The basic engineering has also been completed at C1 Santa Luz and we are currently advancing detail engineering. Earlier this year, we made a construction decision for the development of the Ernesto and Pau-a-Pique project. So these three projects are expected to commence production throughout 2012. We’ll now enter intermediate development stage projects. We continue to advance Pilar and expect and update to the current resource estimate by mid-year followed by a feasibility study, for what we expect to be a positive construction decision by the end of this year. In addition to our immediate intermediate development stage projects, we continue to advance our Agua Rica project. So we completed now additional optimizations including a new mine plan, which demonstrates a 12% increase in gold reserves. Currently, we have all optimization initiatives and review and continue to work towards a full update to the feasibility study. In addition to that, we are looking at further optimization strategies at the El Peñón, Chapada and Gualcamayo operations. As well, we are continuing to advance our exploration efforts at the new areas recently discovered. So we expect a substantial increase in reserves and resources this year as we deliver new resource estimates and updates throughout the year.
Peter Marrone: Thank you very much to Ludovico for the summary of operations for the quarter, to Chuck for our financial results and to Evandro for the highlights of our development stage projects that are currently in construction and those where we are expecting feasibility studies imminently. So to summarize our growth profile, growth is expected to ramp up substantially in 2012 as these three development stage projects, C1, Mercedes and Ernesto/Pau-a-Pique, as well as our tailings reprocessing project at Minera Florida are expected to begin production. Production in 2012 is expected to be approximately 1.3 million gold equivalent ounces as these projects commence operations and by the end of that year, we would be at a planned annual run rate of approximately 1.5 million ounces. The intermediate development stage projects, QDD Lower West and Pilar, along with Caiamar which is advancing quickly to resource and then beyond that, will add approximately an additional 200,000 ounces of production. On an annual basis, taking that production level in total to 1.7 million ounces, we expect to deliver an update on our feasibility study for QDD Lower West as Evandro mentioned later this year. And at Pilar, we expect to deliver a feasibility study during the year as well. We expect robust projects such as Agua Rica to further drive our production growth going forward, supplemented by optimizations and exploration successes. Q1’s robust cash flow and significant growth over the comparable period last year cannot be overlooked as it demonstrates once again the impressive cash generation capacity of the company and its ability to fund our growth without further access to capital or any further leverage to date. And before I open up the call to questions, I would like to remind everyone that we will be hosting our Annual Analyst and Investor Day this afternoon at which time we will be discussing in further detail our operations, our development stage projects, including our value enhancing projects such as Agua Rica and our very, very extensive exploration program. The presentations will begin at 1 PM Eastern Time and will be webcast. The presentation slides and link to our audio webcast can be found on our website. In addition to that, we will remind our shareholders that we will also be convening our Annual General Meeting tomorrow at 11 AM at the Four Seasons Center for the Performing Arts, which is located at 145 Queen Street West in Toronto. If you are unable to attend our shareholder meeting, it will also be webcast live and the presentation slides as always will be available on our website. But we hope to see you there. And with that, if I can open up to questions.
Operator: (Operator Instructions) Your first question comes from the line of Steve Butler. Your line is open.
Steve Butler: Oh! Good morning, Peter and all guys. Peter, you mentioned on page 10 of the MD&A particularly cost control initiatives with benefits to materialize principally at Jacobina and Gualcamayo in the second quarter. I think you alluded to or Ludovico alluded to equipment availability and maintenance at Jacobina. Is there anything else at Jacobina that you’re working on apart from ore mix as well on cost improvements and as well what is the specific cost improvement initiatives at Gualcamayo? Thanks.
Ludovico Costa: Steve, good morning, Ludovico here. At Jacobina, there are several actions there in order to reduce the costs. As we pointed out there on the presentation, the main issue is really to find the right balance between the mines, the production mines. But as well, we are trying to increase the productivities for each particular mine. And as I pointed out, the maintenance is a very important one. That’s why, I mean, that because we brought the extra maintenance to improve our availability there and that did not brought fruit during the first quarter but we expect that to bring fruit since during throughout the year because as we improve productivity and availability of the equipment. I think we are going to get a better mix from the mines as well.
Steve Butler: Okay. What availability ratio or factor would you hope to get to from to?
Ludovico Costa: The current levels that we are reaching [not very clear] because there are different availabilities for different equipment, but we are talk from 72% nowadays to go around the 80% of availability for the older equipment, of course trucks with a higher availability in (inaudible) lower than that. But that’s going to be the average.
Steve Butler: Okay. And how about at Gualcamayo asset?
Ludovico Costa: Gualcamayo, actually the main improvements on cost there is going to be the size of the trucks, actually we brought these trucks by the beginning of the year, actually the end of last year. And now they are really prepare all the benches to accept this truck with a more productive to productive rate. And also they are going to open the benches there in a different way to really have much more access bench-by-bench. Another initiative that they have in the bench that is not where they don’t have ore, they’re going to have 20 meters bench and that would improve all the drilling, all the blasting and also the movements of waste material. That’s our base, the two things that we are going to do there in Gualcamayo asset.
Steve Butler: Okay. Thank you.
Peter Marrone: Thanks.
Operator: Your next question comes from the line of Dan Rollins. Your line is open.
Dan Rollins: Thank you. Good morning. Just quickly on El Peñón, they switched to owner mining. What type of impacts have you seen on the overall dilution and grade control since implementing the new operating procedures?
Ludovico Costa: Well, actually we have seen some reduction of dilution in the range of 5% to 7%. That was basically the range that we improve there.
Dan Rollins: Okay. Are you expecting further improvements throughout the next quarters or is this sort of what you were hoping to get right off that?
Ludovico Costa: Well, I think, there are always opportunities there in Peñón with the new veins but that’s going to depend mainly on the [reserves] of the veins that are there. People there at El Peñón are really looking to have improvements. One of the improvements that they are trying right now is what they call the micro mine and if they succeed on that, the dilution is going to reduce. We are starting that with smaller veins but if we succeed there we are going to transfer that technology, let’s say to the bigger veins as well.
Dan Rollins: And just jumping over to Agua Rica, Peter, this is a question probably for you. In the January press release, you put out an update on Agua Rica stating that you are looking for potential strategic partners. You also mentioned the same thing in the annual report that you were analyzing the benefit of the strategic partner? But in today’s -- yesterday’s MD&A, you actually mention Agua Rica as an exceptional standalone project and there’s no mention of strategic partners. Are you still looking for partners or are you more now thinking more this is a project Yamana would like to take on 100%?
Peter Marrone: I wouldn’t read the two terminologies, Dan, are not exclusive. Standalone project was intended to say that it is a project continues to show value and continues to show that the value will increase. There had been some discussion in the past. I know the people have raised in the past about the possibility of an integration into a next door mine, as you know it’s about 36 kilometers away from Alumbrera. We were really trying to highlight the fact that as this project continues to improve, it stands the test of value creation as a standalone project. That is not exclusive to the question of should we or would we look to a strategic partner and that process continues as well.
Dan Rollins: Okay. So basically standalone is now referring to no longer integration of Alumbrera and you’re still open to all potential opportunities to help with the development of the project?
Peter Marrone: That’s correct. And as you appreciate, a project of this size and scale, and particularly as we continue to improve it, I think it’s important to indicate that a process of strategic partnership along with a parallel process of optimizations by necessity has to run on a parallel basis. If we got to the point where we completed the full feasibility study and then look to strategic partners, it’s highly likely that we would be delaying the project. So by running a parallel path with the review of who would be the best strategic partner for Yamana at Agua Rica and at the same time, conducting a review of the optimizations at Agua Rica gets us to a better result more quickly. And this is also a cooperative process because many of the people who we would look to as potential strategic partners and frankly, our view is that, we have a good pick of who those partners might be. They would likely be cooperating in that process of what are those optimizations. So in the early stages, we delivered on the optimizations earlier this year. Those were the simple ones that were comparatively easy to do. We then indicated that there were a series of other optimizations, the first of which would be the new mine plan. And we’ve delivered on that and now we will continue from that point forward. May I also highlight that when we talk about the increase in reserves of 10% for copper and 12% for gold that is not only as a result of metal price increases, also as a result of a pit redesign and the pit slopes and what that does is also improves the waste removal. So we’re capturing more ounces of gold and more pounds of copper in that pit as it has been redesigned in this new mine plan. And so this is a very, very positive step for Agua Rica today.
Dan Rollins: Okay. And just wanted to touch base. There’s been some issues on the ground with I guess regards to certain NGOs and local opposition, I guess one with respect to getting drills on-site and a court suspending operations or exploration operations there now. There’s also some chatter about the local municipality putting together a referendum to rule on the development of Agua Rica even though -- even knowing that it would be non-binding. But can you give us some color on what you’re seeing from on the ground there, more on the social aspect, on what the community’s involvement is in the project, how are they feeling about it and maybe just a little update on who these vocal [oppositors] are to the project?
Chuck Main: Every large scale world-class project will have attention drawn to it. And in some respects, we are encouraged because clearly it is -- it becomes clear to people that this is a world-class, large scale project and it becomes clear that Yamana is pursuing it. So from that perspective it has drawn attention but perhaps if I can give you this comfort. On the local opposition, we do not see local opposition. You may be aware that the Catamarca government opened its legislative assembly on the weekend and the governor of Catamarca gave an unequivocal strong message of support for mining. You may also be aware that the attempt at a referendum that was we believe politically motivated but we understand the reasons for these things. The courts in Catamarca ruled that it is not proper to pursue that referendum. So in so far as we can tell them from what we are -- in what we are concerned, that referendum is not continuing. It is done. It is completed. There is no attempt for a resuscitation of that referendum at this point. So our view is that those -- what we consider to be temporary impediments that were thrown up by people who were expressing opposition to mining have given way to people who are genuinely saying, look this is an important part of the future development and the revenue generation of Catamarca and the local community. And we continue to work with the local community and the provincial government to ensure that we work toward that sustainability. So we’re very happy that the referendum is no longer continuing. We’re very happy with the positive statements that have been made by governor of Venezuela in Catamarca. We believe that demonstrates what we’ve known all along that there is continuing support for mining in Catamarca and continuing support for Agua Rica.
Dan Rollins: Thanks Peter. Thank you very much.
Peter Marrone: Thank you.
Ludovico Costa: Thanks, Dan.
Operator: Your next question comes from the line of Anita Soni. Your line is open.
Anita Soni: Good morning, Peter, Chuck, Ludovico. And my question is with regards to the buyout of the contractor at El Peñón for $48 million. Can you just tell me where that shows up on the income statement and the balance sheet?
Chuck Main: Yeah. Principally it shows up in the fixed asset section. So there was an element of intangibles but it will be -- it will all be in the fixed asset section.
Anita Soni: That’s not the long-term assets held for sale, that’s -- the long-term assets held for sale are the Sao Francisco, right?
Chuck Main: That’s correct.
Anita Soni: Okay.
Chuck Main: So the bulk of it is in PP&E.
Anita Soni: Okay. That’s my questions. Thanks.
Chuck Main: Thank you.
Peter Marrone: Are there any other questions?
Operator: There are no further questions at this time.
Peter Marrone: We appreciate that we have a very full agenda with our Analyst and Investor Day this afternoon and Shareholder Meeting tomorrow. Thank you for participating in this call and for your questions. I’m certain that there will be many more things we can discuss this afternoon at our Analyst and Investor Day presentations. We look forward to receiving people at that and those who will not be attending to participate by webcast. Thank you very much.
Operator: This concludes today’s conference call. You may now disconnect.